Operator: Good evening, and welcome to Raymond James Financial's Fiscal First Quarter 2026 Earnings Call. This call is being recorded and will be available for replay for 30 days on the company's Investor Relations website. I'm Christy Wa, Senior Vice President of Investor Relations. Thank you for joining us. With me on the call today are Chief Executive Officer, Paul Shoukry; and Chief Financial Officer, Jonathan Oorlog. The presentation being reviewed today is available on our Investor Relations website. Following the prepared remarks, the operator will open the line for questions. Calling your attention to Slide 2. Please note that certain statements made during this call may constitute forward-looking statements. These statements include, but are not limited to, information concerning future strategic objectives, business prospects, financial results, industry or market conditions, anticipated timing and benefits of our acquisitions and our level of success in integrating acquired businesses, anticipated results of litigation and regulatory developments and general economic conditions. In addition, words such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts and future or conditional verbs such as may, will, could, should and would as well as any other statements that necessarily depends on future events are intended to identify forward-looking statements. Please note that there can be no assurance that actual results will not differ materially from those expressed in these statements. We urge you to consider the risks described in our most recent Form 10-K and subsequent Forms 10-Q and Forms 8-K, which are available on our website. Now I'm happy to turn the call over to CEO, Paul Shoukry. Paul?
Paul Shoukry: Thank you, Christy. Good evening, and thank you for joining us. Before we begin, we recognize that difficult weather conditions are impacting many of you and communities across the U.S. Our thoughts are with everyone affected, and we appreciate the dedication of our teams as they continue to clients during this time. Our focus on being the absolute best firm for financial professionals and their clients has contributed to strong results this quarter. The strength and consistency of our client-first culture alongside a robust technology and products platform, coupled with our strong balance sheet, continues to appeal to financial advisers. This is reflected in our solid recruiting momentum and net asset annualized growth of 8% this quarter. We continue to deploy capital with a focus on the long term as demonstrated by our robust organic growth, continued investments in our technology and platform, our consistent deployment through dividends, our recently announced acquisitions as well as share repurchases. In the fiscal first quarter, we recruited financial advisers to our domestic independent contractor and employee channels, with trailing 12-month production totaling $96 million and approximately $13 billion of client assets at their previous firms, a strong result for a quarter that typically experiences a seasonal slowdown. Over the past 12 months, we recruited financial advisers with trailing 12-month production totaling nearly $460 million and over $63 billion of client assets -- including assets recruited into our RIA and custody service division, we recruited total client assets over the past 12 months of more than $69 billion across all of our platforms. Our optimism about future growth is fueled by our robust adviser recruiting pipeline and strong levels of commitments to join in the coming quarters. We offer a unique combination of an adviser and client-focused culture, coupled with leading technology and solutions. This value proposition, coupled with our strong balance sheet and commitment to independence is proving to be a differentiator for advisers evaluating alternatives. In order to continue retaining and attracting the best advisers, we continue making investments in our platform and offerings. For example, our private wealth adviser program and expanded alternative investments platform supports advisers and focus on high net worth clients. We continue to make investments and implement solutions to automate and streamline processes that provide advisers with incremental time to invest in their client relationships. Highlighting this is our newly launched proprietary digital AI operations agent named RA, which builds on our service-focused long-term AI strategy. The firm's suite of AI-based tools and technologies is focused on empowering financial advisers and professionals across the firm by applying artificial intelligence to enhance service models in secure, scalable applications. Capital Markets results declined this quarter, primarily driven by lower M&A and advisory revenues and also lower debt underwriting and affordable housing investment revenues on a sequential basis. Given the very strong M&A results in both the year ago and sequential periods, this quarter faced tough comparables. Even so, we entered the second quarter with a robust pipeline that continues to reflect the potential resulting from the strategic investments we have made in this segment over the past few years. We are confident we are well positioned with motivated buyers and sellers, along with deep expertise across the industries we cover. We remain committed to opportunistically enhancing the platform by broadening and deepening its capabilities, whether through strategic hiring or acquisitions as evidenced by the announced acquisition of the boutique Investment Bank Greens Labs during the quarter, which we anticipate closing later in the year. In the Asset Management segment, net inflows into managed fee-based programs in the Private Client Group were strong during the quarter, annualizing at nearly 10% and reflects the complementary impact of being able to offer high-quality investment alternatives to our financial advisers as well as growth resulting from our successful recruiting efforts. In the Bank segment, loans ended the quarter at a record $53.4 billion, primarily reflecting outstanding 28% annual growth in securities-based lending balances and 10% growth in this quarter alone, yet another synergistic impact from our growing private client business as we are able to deploy our strong balance sheet in support of clients. Importantly, the credit quality of the loan portfolio remains strong. Turning to capital deployment. We continue to deploy capital with a focus on the long term as evidenced by our robust organic growth, continued investments in our technology and platform and recently announced acquisitions. In January, we announced the acquisition of Clark Capital Management, a leading asset management firm specializing in wealth-focused solutions to financial advisers and their clients with expertise across the growing segment of model portfolios and SMA and UMA wrappers. With over $46 billion in combined discretionary assets under management and nondiscretionary assets, Clark Capital is recognized as a high-growth firm in the industry and has a track record of strong inflows. We are excited to welcome Clark Capital into the Raymond James family where it will maintain its independence in brands going forward. We believe their services and capabilities further strengthen Raymond James Investment Management's existing investment and wealth planning offerings. This announced acquisition, along with that of Green'sledge, demonstrates our steadfast pursuit of acquisitions that are a strong cultural fit, a good strategic fit and valuations that generate attractive returns for our shareholders. As we continue to pursue both organic and inorganic growth opportunities, we also maintain our share repurchase program to effectively manage capital levels. This quarter, we repurchased $400 million of common stock at an average share price of $162. We ended the quarter with a Tier 1 leverage ratio of 12.7%. Now I'll turn the call over to Butch Orlog to review our financial results in detail. But? Thank you, Paul.
Jonathan Oorlog: I'll begin on Slide 6. The firm reported record net revenues of $3.7 billion for the fiscal first quarter. Net income available to common shareholders was $562 million with earnings per diluted share of $2.79. Excluding expenses related to acquisitions, adjusted net income available to common shareholders equaled $577 million, resulting in adjusted earnings per diluted share of $2.86. Our pretax margin for the quarter was 19.5% and adjusted pretax margin was 20%. We generated annualized return on common equity of 18% and annualized adjusted return on tangible common equity of 21.4%. Solid results for the quarter, particularly given our conservative capital base. Turning to Slide 7. Private Client Group generated pretax income of $439 million on record quarterly net revenues of $2.77 billion. Results were driven by higher PCG assets under administration compared to the previous year, resulting from the impact of market appreciation, retention and the consistent addition of net new assets. Pretax income declined 5% year-over-year, primarily due to the impact on the segment of interest rate reductions, which reduced our noncompensable revenues. Interest rates have declined 125 basis points since early November 2024. Our Capital Markets segment generated quarterly net revenues of $380 million and a pretax income of $9 million. Segment net revenues declined year-over-year and sequentially due to the factors Paul already mentioned. The Asset Management segment generated record pretax income of $143 million on record net revenues of $326 million. Results were largely attributable to higher financial assets under management compared to the prior year quarter due to the market appreciation over the 12-month period and strong net inflows in the PCG fee-based accounts. The bank segment generated net revenues of $487 and record pretax income of $173 million. On a sequential basis, the bank segment net interest income grew 6%, primarily driven by strong loan growth fueled by securities-based loans and lower funding costs, driven by the decline in short-term rates and a favorable mix shift in deposits. Turning to consolidated revenues on Slide 8. Asset management and related administrative fees of nearly $2 billion grew 15% over prior year and 6% over the preceding quarter. Record PCG fee-based assets equaled $1.04 trillion at quarter end, up 19% year-over-year and 3% over the preceding quarter. As we look ahead, we expect fiscal second quarter 2026 asset management and related administrative fees to be higher by approximately 1% over the first quarter level, driven by the impact of 2 fewer billing days in our second quarter, which partially offsets the impact of the 3% increase in PCG assets and fee-based accounts at quarter end. Moving to Slide 9. Clients' domestic cash sweep and enhanced savings program balances ended the quarter at $58. 1 billion, up 3% over the preceding quarter and representing 3.7% of domestic PCG client assets. Based on January activity to date, domestic cash sweep and enhanced savings program balances have declined as a result of the collection of record quarterly fee billing of $1.8 billion and with further decline due to client reinvestment activity. Turning to Slide 10. Combined net interest income and RJBDP fees from third-party bank grew 2% over the prior quarter to $667 million. Net interest margin in the bank segment increased 10 basis points to 2.81% for the quarter, driven by the factors I previously mentioned. The average yield on RJBDP balances with third-party banks decreased 15 basis points to 2.76% primarily due to the impact of the Fed interest rate cuts since mid-September 2025. Based on current interest rates, including the full impact of the October and December rate cuts and assuming unchanged quarter-end balances, net of the $1.8 billion fiscal second quarter fee billing collections, we would expect the aggregate of NII and RJBDP [Audio Gap] the second quarter to be down from the first quarter level. The decline due to 2 fewer interest earning days in the second quarter impact of the recent Fed rate cuts are partially set by the higher interest-earning asset balances as of the beginning of the quarter. Keep in mind, there are many variables which could influence actual results, including any interest rate actions during the upcoming quarter and factors affecting our balance sheet, including changes in our loan and deposit balances. Turning to consolidated expense on Slide 11. Compensation expense was $2.45 billion and the total compensation ratio for the quarter was 65.6%, excluding acquisition-related compensation expenses, the adjusted compensation ratio was 65.4%. Commencing this quarter, we presented recruiting and retention-related compensation expense in the PCG segment for each reporting period to aid the understanding of the impact of such costs on our business. These costs have increased as a direct result of our strong recruiting successes and reflect a component of the execution of our highest capital deployment priority of investing in organic growth. Non-compensation expenses of $557 million increased 8% over the year-ago quarter, but decreased 7% sequentially. For the fiscal year, we expect noncompensation expenses, excluding the bank loan loss provision for credit losses, unexpected legal and regulatory items and non-GAAP adjustments presented on the non-GAAP financial measures to be approximately $2.3 billion, representing about 8% growth over the same adjusted non compensation metric for the prior year. Importantly, we will continue to invest to support growth across our businesses while maintaining discipline over controllable expenses. The majority of the projected increase reflects our continued investment in leading technology supporting our financial advisers as well as our expectations for overall growth in our businesses. This projection, therefore, includes, for example, incremental recruiting-related and transition support costs, which are driven by continued successful recruiting, higher subadvise fees which grow as fee-based client assets increase and FDIC insurance premium, which grows as the bank's segment balance sheet increases. Slide 12 presents the pretax margin trends for the past 5 quarters. The achievement of our 20% adjusted pretax margin target this quarter despite the headwinds we experienced a lower interest-related and investment banking revenues, highlights stability and strength of our diversified businesses to consistently generate strong margins. On Slide 13, at quarter end, our total assets were $88.8 billion, a 1% sequential increase, resulting primarily from loan growth, partially offset by lower corporate cash balances, which declined primarily due to corporate share actions as well as seasonal funding obligations, record bank loans of $53.4 billion grew 13% over the year-ago quarter and 4% sequentially with that loan growth largely in support of our clients. Securities-based loans and residential mortgages represent 60% of our total loan book, reflecting approximately 40% and 20% of the total, respectively. We continue to have strong levels of liquidity and capital. Our day of corporate cash at the parent ended the quarter at approximately $3.3 billion, providing liquidity of $2.1 billion, well above our $1.2 billion target. Our capital levels provide significant flexibility to continue being opportunistic in our pursuit of strategic acquisitions and to invest in organic growth. With a Tier 1 leverage ratio of 12.7% and and a total capital ratio of 24.3%, we remain well above regulatory requirements with approximately $2.4 billion of excess capital capacity to deploy before reaching our targeted Tier 1 capital ratio of 10%. The effective tax rate for the quarter was 22.7%, reflecting a seasonal tax benefit arising from share-based compensation that settled during the quarter. Looking ahead, we continue to estimate our tax rates for fiscal 2026 to be approximately 24% to 25%. Slide 14 provides a summary of our capital actions over the past 5 quarters through the combination of common dividends paid and share repurchases, we returned $511 million of capital to shareholders during the quarter. In January, the firm opportunistically redeemed all of [indiscernible] shares of Series B preferred stock for an aggregate redemption value of $81 million. which reduces Tier 1 capital in the fiscal second quarter. Taking this capital action into consideration, we expect to target approximately $400 million of common share repurchases again in the fiscal second quarter. Over the past 12 months, we have repurchased $1.45 billion of common shares and including dividends paid, we have returned nearly $1.87 billion of capital to common shareholders, reflecting a combined return of 89% of our earnings. We maintain our long-term commitment to operating our businesses at capital levels consistent with established targets. I'll now turn the call back to Paul for his final remarks.
Paul Shoukry: Thank you, Butch. In summary, we are off to a strong start in fiscal 2026, and I believe we are very well positioned entering the second quarter with record client assets and strong competitive positioning across all of our businesses. Financial adviser recruiting activity remains strong, and the investment banking pipeline is robust. Near term, there are headwinds with lower interest rates and seasonal impacts typical in the second fiscal quarter with fewer billing days in the quarter and payroll taxes resetting at the beginning of the calendar year. However, that doesn't distract us from our focus on generating long-term sustainable growth. While in some ways, there's more competition in our space. We are confident that our established approach and focus on the power of personal is setting us apart in our industry more than ever. We are focused on the long term and providing a tail platform for advisers, bankers and associates with a foundation of deeply personal relationships. We attract and retain financial advisers with our unique culture leading service and robust platform. We value independents to foster an environment where our advisers can provide objective advice to their clients. We are focused on sustainable growth and quality over quantity. We strive to maintain a strong balance sheet with strong levels of capital and liquidity and a conservative amount of leverage. We are confident our long-standing approach will continue to endure in both good times and more challenging times and help us deliver on our vision of being the absolute best firm for financial professionals and their clients. So I want to thank our advisers, bankers and associates for the great service and advice they provide to their clients and delivering our firm's mission to help clients achieve their financial objectives. That concludes our prepared remarks. Operator, will you please open the line with the questions.
Operator: [Operator Instructions] We'll go first to Michael Cho from JPMorgan.
Y. Cho: I just want to start on net new assets. It's been seen a pretty nice acceleration over the last several quarters at 8% this quarter. I mean, are there areas that saw any particular strength this quarter. And if you look back maybe over the last 4 quarters, what segment or tweaks in Raymond James' approach? Do you think it's been supporting that acceleration and how would you frame that pipeline today relative to the past couple of quarters?
Paul Shoukry: Thanks, Michael. Yes, $31 billion of net new assets in the quarter would be our second best quarter ever, just to put that in perspective. So as I've been messaging last few quarters here, the recruiting activity is robust. It's broad-based across our affiliation options, maybe more heavily tilted in the last 6 months on the independent contractor side of the business. But really what's resonating now is what's really always resonated. We've kind of consistently been a leading destination for financial advisers in the industry. And more importantly, the retention of our existing advisers remains very strong. Yes, there are more competitive pressures now with private equity backed roll-ups and that sort of thing. But really retention of our existing advisers, the adviser satisfaction is the highest it's been since I think 2014 and really having a platform where advisers feel like there's a culture that really respects the independents and their book ownership, the book ownership they have of their clients. And coupling that with the platform, the technology, we've been investing close to $1.1 billion this year. the AI to support that, to help them save time, to help them make better decisions, to help them be more efficient in their operations with their clients and then the products. And so having the culture and the products as a platform and the technology is really differentiating us more than ever. And the power personal, the value proposition that we released with our annual report of several weeks ago, is increasingly differentiating as well. Other firms are talking about IRRs and exit periods in 3 to 5 years or funnels and all sorts of impersonal things. And what we're doing in that world -- of what I'd call noisy competition is really doubling and tripling down on what we've always done, which is really focusing on the personal relationships with financial advisers and giving them tools and resources to strengthen the personal relationships that they have with their clients. And that's really resonating with advisers, both our existing advisers and prospective advisers, which is driving our consistently leading recruiting activity.
Y. Cho: Great. Paul. If I could just quickly follow up on a modeling question, just on expenses. Sorry if I missed it -- was there anything to call out in terms of comp expense or comp ratio during the quarter. And now I know it's typically builds seasonally from here. I think Paul, you mentioned the payroll taxes. But how should we think about kind of modeling in terms of comp ratio, whether in the fiscal second quarter or even fiscal '26?
Paul Shoukry: I mean the comp ratio target that we laid out on the last analyst Investor Day was 65% or better. And really, this quarter, it was impacted by revenue mix. So Private Client Group business with the independent channel, which has a higher payout. Some firms break that out of compensation. We included in compensation drives a higher mix of compensation relative to the capital markets business, which, for us, largely due to timing of the investment banking pipeline, we still feel very good about. But this quarter, it was a weaker quarter. And so due to the revenue mix, also with lower interest on short-term rates, When you look at those mixes of revenue, it ended up being slightly above 65%, but really at 65.4% for the quarter, with lower rates in a very tough quarter for capital markets, again, due to timing. We're really pleased with that results.
Operator: The next question will come from Ben Budish from Barclays.
Benjamin Budish: Maybe just following up on Michael's first question there on NNAs -- really solid quarter, but it does seem like from what we're hearing from competitors from a lot of the kind of media, the media coverage that the competitive intensity is picking up quite a bit, whether it's manifesting in more incentives, more aggressive retaining of existing advisers. Just curious, is that something you're seeing? How are you thinking about responding? Is it the sort of environment where this quarter -- was there anything unusual? Or do you think that kind of growth is sustainable over the next at least coming quarters? Just would be great to get your thoughts there.
Paul Shoukry: Thanks, Ben, and welcome to being 1 of our covering analysts [indiscernible] just starting this morning. So yes, I mean the environment though is competitive, I think in the last 5 years, the biggest change has been -- the entry of these private equity roll-ups. And we've talked a lot, as you know, in the past around that dynamic. I think this is going to be a really important year for those type of firms. A lot of them have thought liquidity events and haven't been able to achieve them at the multiples that I think they were targeting. And so -- and a lot more will come out, I think, in the next year or 2. And that will dictate whether or not they can still afford to pay what they have been paying, which has actually been increasing over the last couple of years. But I call that short-term noise, short-term impact. We obviously had to deal with that from a competitive perspective. But the advisers we're recruiting are not looking for a 3- to 5-year destination. They're looking for a much longer -- 3- to 5-year destination with another liquidity event that's going to cause other sorts of disruption for them and their clients. We are kind of a long-term stable play for advisers and their clients. We're looking for advisers who are really looking for a platform in a home for them, their teams and their clients where they're not going to have to have another disruption in 3 to 5 years. They want -- they're looking at our balance sheet to see how much tangible equity we have, how much leverage we have, how much cash flow we have in capital because they want a platform in a home that can remain independent. And we're absolutely committed to remaining independent because, again, they don't want to have to make a change again in 3 to 5 years. So while the competition has increased in the industry -- for us, our differentiation, we feel like we have, in some ways, less competition than ever because we're focused on the long term. We're focused on the power of personal, the personal relationships, and we're able to invest $1 billion in technology. A lot of our competitors who also are focused on personal relationships and that have similar cultures, their technology investment, for example, is a fraction of ours. And that's hard to remain competitive when you can't invest in AI and the tools that you need to help advisers develop more efficiency in their businesses with their clients.
Benjamin Budish: All very helpful. Maybe for my follow-up, just curious if you could unpack a little bit more the near-term outlook on the capital market side -- sounds like you're still confident on the pipeline. Obviously, the revenues can swing quite a bit from quarter-to-quarter. So anything you can share from a modeling perspective how we should think about the very near term, we're about 1/3 of the way through Q1. Anything you can share would be helpful.
Paul Shoukry: The pipeline remains very strong. There are a lot of pent-up demand in terms of buyers and sellers, buyers with capital, dry powder to deploy and sellers. Again, the majority of our M&A activities driven by financial sponsors, either on the buy and/or on the sell side. And there's a lot of holdings and funds that are well beyond their original holding period. And so there's a lot of pent-up demand. There's a lot of -- we're signing a lot of engagement letters and we feel good about the demand. But you can never predict timing. And so -- we don't try to guess on when they will close or if they will close if the market conditions have to be conducive and there have to be buyers and sellers that meet on price and terms.
Operator: Next up is Craig Siegenthaler from Bank of America.
Craig Siegenthaler: Good evening, Paul. just a big congrats on the 8%. But there actually has been a wide range to recent quarters. We saw 2% a couple of quarters ago. 8% this past quarter. So I was wondering if you can comment on the sustainability of the 8%? And in your view as maybe the midpoint, something like 5% to 6% a better go-forward run rate to model.
Paul Shoukry: Yes. I mean 8% did benefit from not only the really strong retention results, recruiting results, but also there's year-end -- calendar year-end dynamics, which help all firms in the industry with dividends and interest payments and those sorts of -- but with that being said, we're confident that based on our pipelines now and our retention that I spoke about earlier, that we can continue to be a leading grower in wealth management, which we have been on a pretty consistent basis. And doing it in a way that we feel sustainable. We're really focused on quality over quantity. And so we've been really growing assets by bringing on higher quality teams that are focused on higher net worth clients. And so that will -- and that enables us to keep a high touch service model and really reinforce the value proposition of Power personal.
Craig Siegenthaler: And then given the stronger recurring that we've seen and we're seeing the results today, but also elevated competition. Could we see the PCG comp ratio creep up in 2026? Or does the 5- to 10-year smoothing really protect the operating margins if recruiting NNAs remain robust.
Paul Shoukry: Yes. I mean there's a lot of investment that goes into recruiting. The reason we broke out the retention and transition assistance related expense for the first time this quarter because in the last 12 months, we recruited advisers who had $460 at their prior firm. That's equivalent to a pretty decent sized acquisition in our space, especially when you look at what is remaining out there. And we'd much rather recurit 1 by 1 where we know the advisers are a good cultural fit and 100% of what we pay in transition assistance is going to retention versus the seller. And if we did do with acquisitions, that type of expense would typically be non-GAAP. So we wanted to at least break it out for you to see because that is a part of the expense. But so as we pay recruiters and we have to pay for account transfer fees and other things that support that growth. But again, organic growth is the #1 capital priority in terms of capital deployment. So we'll continue to invest in that organic growth. We are confident that generates the best long-term returns for our shareholders and then growing the top line gives more opportunities for everyone and allows us to reinvest in the platform overall.
Operator: Brennan Hawken from BMO Capital Markets has the next question.
Brennan Hawken: Curious -- totally hear you on how robust the capital markets pipelines are the need for the sponsors to engage and absolutely hear you there. So it sounds like you guys are setting up for solid revenue growth as we come into the coming year. Is that fair? Or do you think that it's going to take a little bit longer to come to market, the sort of revenue translation there has been -- a bit long in the tooth, so to speak. And then when you eventually do get some revenue, how should we be thinking about operating leverage on revenue growth. Is there a [indiscernible] an algorithm we can and just think about when we're confirming that we're teeing up our forecast correctly.
Paul Shoukry: Yes. No, I mean we had a really strong quarter in investment banking just last quarter. So if you look at Capital Markets last quarter, it was over $500 million in revenues, and we certainly don't think that's a ceiling, but you saw how that impacted the operating leverage relative to this quarter. I think the pretax margin last quarter was around 17.5% in that segment. So there's a lot of operating leverage with higher levels of revenue in capital markets. We are optimistic about the pipeline. And we would be disappointed for the rest of the year if the revenue in the Capital Markets segment doesn't improve meaningfully above the $380 million level that it's achieved this quarter.
Brennan Hawken: Okay. Got it. And then a lot of questions around the outlook for crude and whatnot. The certainly a robust net new asset growth this quarter sort of following up on Craig's question around -- because it has been volatile, it moves around. And also in the marketplace, there's a couple of deals out there that have been very much in focus, which could cause some maybe movement to be a bit more elevated. Did you see that -- did that impact you guys were you guys able capitalize on some of that movement? And how long do you expect such disruption could create opportunity for you?
Paul Shoukry: Yes. I mean I hate to speak on any specific M&A or transactions. We have a lot of friendly competitors, and they're doing good jobs keeping the advisers through those transactions. So what I would speak to is just the broad-based strength. It's not 1 firm that we're seeing success from. There's a lot of different firms. Advisers are coming from wires, regionals, other independents. And again, that value proposition -- we have the largest addressable market across our affiliation options, from employees, independent contractors to the RIA custody, and we have critical mass and decades of experience in all of them. It's not a new venture for us -- it's not something that we're testing out or trying out or seeing how it will work. And so that value proposition, the cultural fit, the platform that I talked about, the multiple affiliation options, it's appealing to advisers from a lot of different firms.
Operator: Next, we'll hear from Bill Kat from TD Cowen.
William Katz: Just coming back to the M&A, I hear you on organic growth, and it seems like the pipeline there is quite good. Just wondering if you could unpack maybe the Clark transaction a little bit, how to think about the accretion to that -- and then how should we be thinking about where you might be interested in terms of incremental inorganic opportunities given such a strong balance sheet and maybe trying to understand the path back to a 10% Tier 1 leverage ratio.
Paul Shoukry: Thanks, Bill. Yes, Clark Capital is really a perfect representation of our M&A priorities. And that's first and foremost firm that has a good cultural fit. The Card family, who started the firm and the team, the entire team there -- our client-focused long-term focus and exactly approach the business in a very similar way that we approach it with our values and our culture. And then as a strategic fit in terms of their focus on treating advisers like clients. We're going to maintain the independence that Clark has both in terms of brand and the way they interface with their clients, not our clients, but clients. And so the cultural fit, the strategic fit and then the financials have to make sense for both us and for the sellers. And so that was the case here as well. And so we are very excited, their high organic growth, differentiated product, but really, really deep personal relationships with their clients, which is what was so appealing about hard capital. And those are the type of deals we're going to look at across all of our businesses. It's firms that have good cultural fit, strategic fit and makes financial sense for us and for the sellers. And so -- we're very active. We have an active corporate development apparatus. We have a lot of capital, and we're confident with our ability to integrate. And so we're going to continue to look for deals that make sense. So we're not going to force deals just to do deals. They have to make sense for our shareholders over the long term.
William Katz: Okay. And just as a follow-up, maybe just a 2 part, so I apologize for squeezing it in. Can you talk a little bit about the path to support the interest-earning asset growth from here? And how you sort of see the interplay of the sort of liquidity on the third party versus maybe cash coming in to doing net new assets. And then if you could just review what you said in terms of the January numbers, the way it was phrased. I wasn't quite quick clear. If you were down 1.8% for the quarter or down something less than that inclusive of billings and activity. If you could just clarify, that would be helpful.
Paul Shoukry: Yes. So Bill, in terms of the stand currently in January, our total combined program we sweep and ESP balances are down $2.6 billion, which includes the $1.8 billion fee billing, which have already come out of the account as we indicated. And what we're seeing for that difference is a strong client reinvestment of their balance for the rest of it. The breakdown between suite program and ESP balance of that $2.6 billion is we've seen $2.1 billion of that in the suite program and about $500 million of that in the ESP program since the quarter end balance. So yes, we're continuing to see, like others that have reported a shift of the mix of bigger percentage declines in the enhanced saving program balances as rates come down, clients are -- those high-yield savings rates are less appealing, especially relative to the market. So we're seeing more investment in the market versus higher-yielding alternatives at least over the last couple of quarters as rates started really coming down, which lowers the weighted average mix or the weighted average cost of deposit between suites and enhanced savings. To answer your question about ongoing long-term growth, I mean, you saw securities-based loans grow close to $2 billion this quarter alone. And so the growth is attractive. That's the flip side of the lower rates that floating rate loans become more attractive, and you saw that this past quarter as well. And we'll fund it with the diversified funding sources that we have, both the sweep cash, we have third party cash that we can redeploy. But also, we have diversified deposit gathering apparatus, particularly at TriState Capital Bank. And so we'll look at all of those levers to fund future growth going forward.
Operator: The next question is from Steven Chubak from Wolfe Research.
Steven Chubak: So I wanted to drill down into the M&A results and the outlook recognizing that pipeline strength you cited also acknowledge 1 quarter does not a trend make. But if I compare for the calendar year, full year '25 versus '24 advisory results. The gap between you and peers was quite substantial. I think you guys were down 20%. Peers big and small, were both up about 20. And I was hoping you could just speak to any do factors that might have weighed disproportionately on your results, whether it's a function of client or sector mix. And just bigger picture, in the past, you talked about this $1 billion target in M&A fees based on your current scale? Do you still view that as a credible target? And what actions are you taking to help narrow that gap?
Paul Shoukry: Yes. I mean we're adding a lot of MDs and have added have been adding a lot of MDs and high-quality MDs in investment banking across various sectors over the last several years. So in terms of comparisons, really it's hard to compare apples-to-apples. Like you mentioned the bigger firms. Last year was a better year for public company M&A [indiscernible] bracket M&A. And that's, as you know, not a space that we really compete or play in. So when you compare mid-market growth-oriented firms to the public company firms for the year overall last year, a public company M&A, the bolts-bracket M&A definitely led the way in the recovery. And that's not atypical if you look at history, where both on the way up and on the way down, it seems like public company M&A sort of leads the way. And in every firm, even on the regional side or the growth of oriented size has different strengths in sectors, the depository sector, some firms have long-standing, deep businesses and depositories, for example, which has really seen a pickup in the new administration proving deals. And you kind of have to go sector by sector. But we feel very confident with our expertise -- with the sectors that we are very good in in our pipelines. And so I hate to compare things quarter-to-quarter. There's some quarters we do a lot better, and we tell you, don't overindex that because it's timing. And I would tell you in this type of quarter we're doing worse than, I would say, don't overindex that either. Investment banking is not a recurring revenue business, as you know, as like the Private Client Group businesses. So you really do have to look at long-term trends. And if you look at our long-term trend and growth of investment banking over the last 5 to 7 years, which we'll highlight again at our Analyst Investor Day, it's been very strong and attractive relative to our peers.
Steven Chubak: And Paul, you just squeeze into, let's call them, more tite modeling questions. Noncomps have grown double digit the last 3 years, 8% guide is encouraging, reflects the moderation in growth. Just given the commitment to investing, do you feel like you can continue to hold the line and then the cost curve on non comps. And I'll just mention the other 1 now. The M&A growth is impressive. The AUM growth admittedly lagged our expectations given strong organic flows and market appreciation. I was hoping you could speak to why that better NNA flow rate didn't necessarily translate into a strong AUM conversion, which I know can happen from time to time.
Paul Shoukry: Yes. Let me take the last part of the question first, and then I'll have Butch touch on your first part of the question on the cost curve. But it is a good question around AUA because I was comparing our overall AUA and flows to some of the others that have reported. And I think really where you see that relationship makes sense is if you look at our fee-based assets. And the fee-based assets were up 19%, which if you compare it to the other firms that are reported and their net new assets, you would see the relationship that you're expecting. So I would kind of look at that as a proxy fee-based assets versus overall firm-wide AUA. And I'll have Butch talk about the noncomp trajectory?
Unknown Executive: Yes. So with respect to noncomp expenses, technology and our continued investments and our leading technology and support of financial advisers just continues to be an area of emphasis. So as we continue to manage those noncomp expense levels, we're going to continue to invest in that technology. it sort of makes us -- it's part of our unique culture and our unique value proposition at Raymond James. And so we have to balance continued growth in that expense against continuing to achieve that key objective. So the majority of that increase year-over-year is for technology. And as a growth company, we still have other expense elements that vary directly with our successful growth, both in terms of NNA. We mentioned the recruiting expenses and the incremental expenses that come with successful NNA. But we also -- as we grow our balance sheet, and we also have a growth expenses that come with growth in the balance sheet. So as we think about the objective, we remain committed to creating -- increasing and improving our operating leverage over time. We believe we have -- continue to have the scale do that. And so we're focused on our operating margin and continuing to pursue opportunities to grow that operating margin over the long term.
Steven Chubak: Great color and thanks for accommodating the additional questions.
Operator: We will take the next question today from Alex Blostein from Goldman Sachs.
Unknown Analyst: This is Michael on for Alex. Maybe back to the non-comp growth that you guys are laying out for '26. So you mentioned this year will include further investments in tech and support of recruiting efforts as well. Can you maybe elaborate on what specifically is going into that growth this year? And I'll stop there.
Paul Shoukry: I mean, if you look just at our investment in cybersecurity, the growth of AI investments and the development that we're doing with applications across all of our businesses, the infrastructure investment, there's a lot that goes into it. And that's why I was saying earlier, just harder and harder for smaller firms to remain independent and competitive without being able to invest $1 billion a year in technology. We recruited advisers from another great firm culturally and they came over -- 6 months later, they said, "We didn't realize it until we made the move over, but we were basically on a prompt at our prior firm. And they're just not able to necessarily keep up with the technology -- and it's nothing inherently wrong with the other fund, but just you have to have scale and critical mass to make those investments. And so as Butch said, we're going to continue focusing on technology. I do think long term, especially with AI, we will find more efficiencies in the cost structure as we deploy AI and automation. We're not going to dimension that or even put a time table on that now because it's still early innings. But we're starting to see some great benefits already. I mean we just launched Ray. We had a press release that came out Ray AI sort for kind of Raymond James a play on that. But it's natural language, sort of Q&A model, if you will, that uses generative AI that -- to answer questions for advisers and their sales systems and their teams -- that way, they don't even have to call in. And that's going to create efficiencies for them. That's going to allow our service people to spend their time on higher-value problems and solutions and opportunities. So again, we're not even in the first innings of those opportunities going forward. But it's important that we have the critical mass and the expertise to make the investments to take advantage of those opportunities over the medium term and long term.
Unknown Analyst: That's helpful. Maybe 1 modeling question. On when you guys originally increased the kind of cadence of the share repurchases, I think the original range was $400 million to $500 million a quarter. It seems the past couple of quarters has been closer to like $350 to $400 million range, including the target for the fiscal second. Can you kind of walk through the rationale? Is that because you guys are allocating capital to other things. Is the target going to remain [ 4% to 5%]? Or is 400 a better run rate for the rest of the year?
Paul Shoukry: Yes. So as you noted, we did repurchase $400 million this most recent quarter, which was within the guidelines, the guidance that we had provided. And we have indicated an expectation that we'll repurchase at $400 million levels, what we're targeting for this current quarter. And keep in mind that we just had another capital deployment action this quarter where we redeemed $80 million of preferred equity, that has the same effect on Tier 1 capital as the share repurchase doesn't have the same EPS effect as a share repurchase. So I would say we're deployed in capital actions this quarter, targeting $480 million of activity. And going forward, we remain committed to that 400 to 500 quarterly level going forward as we continue to monitor our Tier 1 leverage ratio until such time that we've deployed it in our other priorities.
Operator: The next question will come from Jim Mitchell, Seaport Global Securities.
James Mitchell: Just on the deposit mix, you had ESP balances down $1 billion quarter-over-quarter, another $500 million so far. Is that just demand driven? Or are you actively looking to shrink those deposits and just trying to think through the trajectory of those balances and the mix going forward.
Paul Shoukry: No, Jim, it really on demand driven because it's kind of just had a 100% deposit beta. So we haven't been accelerating that to change the demand. I think the -- and if you look at the outflows, outflows have been pretty consistent. It's really the inflows that have decelerated as rates have started coming in, and I think more clients are funds are getting invested into the markets. So I think that's consistent with what you've seen with other firms and their higher-yielding savings products. It's just that rates are coming in, as you would expect, the demand for placing cash there is declining.
James Mitchell: Right. Okay. That's fair. And so when we kind of put it all together with kind of the thoughts on mix from here -- deposit mix from here, the forward curve and your pretty significant loan growth that's picking up at lower rates. So how do you think about the combination of NII and RJBDP fees as we go forward for the rest of the year.
Paul Shoukry: Yes. I mean, I would say it really kind of depends on the rate trajectory from here. So any were the market's pricing in anywhere from 0 to 2 rate cuts, the lower the rates. I mean, we have good deposit beta on the balances that we have, which provides resiliency on both the NIM and the B2P yield. But in terms of the balances in ESP, I still think clients are price sensitive to what they're earning on their cash balances even if rates were to be cut a couple more times. It's just a real difficult question to answer is to what extent does that sensitivity decrease as rates go down. And we really don't know the answer to that, but we would be guessing, but that's what we would have to monitor going forward.
Operator: Our next question comes from Michael Siperco Morgan Stanley.
Michael Cyprys: I just wanted to ask about the all platform that you've been investing across. I was hoping you could elaborate on -- how you've been expanding that platform where that stands today relative to where you'd like that to be? And what steps can we expect from Raymond James over the next 12 to 24 months with respect to the old platform?
Paul Shoukry: I mean, with our platform, we -- we have a very similar approach that I described with growing the number of advisers that we have and it's an approach of quality over quantity. We don't want to have every product under the sun just because it might make a headline or a new story, then there might be some interest that comes in. We've got to make sure, one, there's critical mass of interest and demand but most importantly, that the product is well diligent from both an operational and an investment perspective and well supported on an ongoing basis, which requires ongoing servicing. And that really to do it well, we really want to make sure that there's critical mass in the products that we do offer. So we're being deliberate on it. We invest a lot in education. We're not -- we've seen other firms in the industry use alternative investments as sort of a tool to make it harder for advisers to leave from 1 firm to the other because they kind of create friction when advisers want to move and/or as a profit driver. That's not how we look at any product. First of all, all advisers are free agents and they want to leave on good standing, we'll help them move to another firm. And we don't want to try to sell any products to them that makes that harder for them and their clients. And secondly, I think it's problematic long term when you start looking at products and profit drivers versus what's most importantly, good clients long term. And so we invest a lot in education and making sure advisers help their clients understand the impact of investing in private equity? And what portion -- what is the appropriate amount of allocation of private equity, given the individual clients' liquidity needs. So which is different amongst every client, which is why it's so important for the adviser to understand their clients' risk tolerance or liquidity needs, where they are in their investment process. And so we have a balanced approach when it comes to offering any product, but particularly private equity because it is on a relative basis, less liquid than the more traditional investments. And it becomes even less liquid when you need the cash typically if you look at history. So we just want to have a balanced approach and a long-term approach there.
Michael Cyprys: Great. And then just a follow-up question on AI. You spoke about automating processes, the launching AI operations agent Ray. I was hoping you could speak to your aspirations there. How you see this ramping in terms of usage and adoption compared to where adoption is today for Ray, what sort of ROI do you anticipate? And then just more broadly, where is there scope to launch additional agents and how you're thinking about potential for an agented workforce at Raymond James.
Paul Shoukry: It's a great question. I mean I spent a lot of time with our technology leadership asking the same thing. Really, we don't know yet. It's early. It's first inning of opportunities here and deployment. We already have over 10,000 associates that are using AI on a regular basis in 1 way, shape or form. So the penetration has been pretty significant. I think we've -- over 3 million lines of code are written a month using AI with oversight from the technologist in the group. So we are using AI to a pretty significant extent already, but I still think it's early innings. And the opportunities to expand that as these tools get smarter and more efficient is significant.
Operator: The next question comes from Devin Ryan from Citizens Bank.
Devin Ryan: Thanks, everyone. I think we're probably covered everything here. Just 1 maybe to dig in on the securities-based loan growth. I mean it's just been really off the chart. And so I'm just curious, as we think about kind of the next year here, I get the piece around rates are coming down and that's helpful. But it seems like there's probably a lot of education going on there. And so I'd love to just get a sense of kind of some of the other drivers -- and then just capacity because that's a really nice area for you guys, and we seem like kind of the remixing element of that is quite positive. So I just want to get a sense of like how much more room there is to go in terms of penetration of your customers.
Paul Shoukry: Yes. No. As you said, it's been -- the growth has been phenomenal. Lower rates have certainly helped that growth. But as you point out, education technology, the tools to tap into the securities-based lending product has been significant as well. And also recruiting has driven growth. A lot of the advisers were recruited coming with substantial SBL balances to their clients. So it's really all of the above approach, and we're optimistic long term about SBL continuing to used by clients because it's a great product for clients relative to other borrowing solutions out there that's much more flexible, for example, than in a home equity loan. And so there's other substitutes out there that are much more mature that people have much higher awareness of. And as they learn about security-based loans, there's a lot of clients that are interested in it.
Operator: Our final question today comes from Dan Fannon from Jefferies.
Daniel Fannon: Paul, I was just hoping to get some context around the industry and how you're thinking about adviser movement here in 2026 and how that might differ from, say, last year.
Paul Shoukry: I think it's going to be -- based on our pipelines, we're optimistic about lease movement to Raymond James, I can't speak to movement to other firms, but we're pretty optimistic about the adviser movement to Raymond James. We're still viewed as a destination of choice. We're still viewed as a leading grower in the wealth space. So we're optimistic about it. And it's still early in the calendar year. So we'll see what happens. I think it depends on some of these roll-ups. What happens with them, if anything, over the next year, that will be a potential catalyst as well. So we don't try to time things, whether we recruit an adviser this year, next year or 5 years from now, We're making decisions over the next 5 to 10 years. So we just want to make sure that we reinforce the unique culture that we have, the power personal, the personal relationships we're building and the client first, long-term culture and values that we have as an organization and invest in the platform to make sure that we're competitive along all dimensions, technology and product and support and making sure that adviser satisfaction and client satisfaction are very high -- we won the J.D. Power award for the most trusted in our industry. Trust is critical in our space as well. And so -- and then we know that if we preserve that special combination of facets that make Raymond James so attractive, then we will continue to recruit advisers and retain our existing advisers with a high level of satisfaction that they have. And frankly, I could care less whether that happens this year or next year or 5 years from now. It's a marathon, not a sprint, and we -- that's why when I hear other firms talk about , we think next quarter, we're going to lean into recruiting and put a little bit more money into it. It's like that's not sustainable long-term recruiting. It's a long-term process that requires a lot of investments. And if you dial up recruiting quarter-by-quarter or dial down quarter-by-quarter, then you're not going to get the quality advisers that you want. You're going to get the advisers out of moving or not moving for the highest check, and that's not who we're targeting. We have to have a competitive check. But we want the advisers who want to be here over the long term to make more money and be satisfied here over the rest of their careers,
Unknown Executive: I think we answered all your questions, trying to interrupt, but I think we answered all your questions. I really appreciate your time on behalf of the Raymond James leadership ship team. We do not take your time or interest in Raymond James for granted and stay warm over the next several days here and look forward to seeing and talking to all of you soon.
Operator: Once again, everyone, that does conclude today's conference. We would like to thank you for participation. You may now disconnect.